Operator: Thank you for standing by. Welcome to the CorVel Corporation quarterly earnings release webcast. 
 During the course of this webcast, CorVel Corporation may make projections or other forward-looking statements regarding future events or the future financial performances of the company. CorVel wishes to caution you that these statements are only predictions and that actual events or results may differ materially. CorVel refers you to the documents the company files from time to time with the Securities and Exchange Commission, specifically the company's last Form 10-K and 10-Q files for the most recent fiscal year and quarter. These documents contain and identify important factors that could cause the actual results to differ materially from those contained in our projections or forward-looking statements.
 I would now like to turn the call over to Mr. Michael Combs, Chief Executive Officer and President. 
Michael Combs: Good morning. Thank you for joining us to review CorVel's December quarter. On the call with me today is Brandon O’Brien, CorVel's Chief Financial Officer. Today, I will discuss business performance, the current environment, market trends and the progress we've achieved with our systems development. Brandon will then provide additional details on the financial results for the December quarter. 
 The December quarter revenues were $179 million, 9% over the $165 million of revenue for the December 2021 quarter. Earnings per share for the quarter were $0.96, increasing 25% from $0.76 per share in the same quarter of the prior year. The results for the December quarter reflect the progress made addressing the staffing imbalances, which I reviewed in the prior release. The improvements have been achieved while prioritizing the quality and consistency of the work we perform for our partners.
 CorVel's development road map includes increased automation and augmentation, which will further optimize bottom line results and improve the outcomes we deliver. CERiS, which serves the commercial health market contributed strong results for the quarter. The results were achieved despite temporarily reduced transaction volume from key partners early in the quarter due to adjustments to the client's internal workflow processes. The reduction in volume experienced is appropriately categorized as deferred work, which we expect to process in the coming quarters.
 The workers' compensation markets for managed care and claims management remain active. Our Enterprise Comp claims management solution benefited from increasing market recognition of the results being achieved for our partners. Calendar year 2022 was significant as we reached record new sales as well as record revenues for the EC business. We were also recognized by Business Insurance for the Innovation Award of the Year as well as TPA Team of the Year.
 Investments in system enhancements for the managed care carrier business have been incremental and consistent over the last several years and are now beginning to yield returns with multiple new carriers being onboarded this year. CorVel Systems, tenured operations team and quality of engagement combined to provide results that are unique in the industry. Building on the current momentum will continue to be a focus this year. 
 During the last several years, there has been an unprecedented amount of M&A consolidation in the payment integrity market, resulting in limited options from which the market can choose. The strong financial foundation of CorVel provides shelter from the consequences of M&A activity, many vendors in the industry are facing in the current economy and the level of stability that is uncommon in the industry.
 CERiS is proud to provide quality service, increased savings, consistency and improved results to our partners, while reducing friction with the provider community. We are continuing to broaden our portfolio of AI-powered services, most recently in specialty care reviews, and we'll be rolling out additional offerings in the coming quarters. M&A throughout all industry supply chains exacerbate the complexities of managing order fulfillment and cash flow. 
 Our revenue cycle management arm, Symbeo, uses AI-driven business rules and accounts payable automation solutions, which we have offered for more than 20 years. We help customers accelerate change management with faster invoice cycle times, consolidate financial reporting, hierarchical workflow approvals, a demonstrated ROI and an enhanced overall experience. 
 It is well understood that comorbidities have a significant impact on recovery and return to work for employees with workers' compensation injuries. However, one that has most recently been in the spotlight is mental health. While studies have found that most injured workers do not have previously diagnosed psychiatric disorders, there are multiple psychosocial barriers that can increase the total cost of a claim as well as the length of time away from work, including perceived injustice, fear and pain. 
 During 2022, 4 states enacted legislation for coverage of mental health injuries in workers' compensation, and there are over a dozen additional states considering legislation and over 50 bills currently in progress. We expect to hear much more about this topic in the coming months and quarters. Although specific mental health problems may not be directly related to a work injury, employers are increasingly realizing the benefits of promoting positive mental health in the workplace. 
 At CorVel, care advocates work to identify evolving mental health issues related to work injuries within the first 30 days of the injury and beyond. Our team works with employers to offer education and to develop holistic treatment plans that promote mental well-being during recovery. Online resources and digital therapy can bridge the access gap for employees and bring care into their living rooms and workplaces. Case managers and treating physicians are able to provide patient education tools on topics, such as managing anxiety, preventing social isolation and effective coping mechanisms to provide more rapid recovery and return to work. 
 During the quarter, CorVel has continued our efforts in digital transformation, most recently in the area of document management. Documents are pervasive in much of CorVel's business, a meaningful amount of time is spent by adjusters, professional review nurses, case managers and bill review team members reviewing documentation to identify key information. The documents we receive contain a wealth of information that when intentionally reviewed plays an important role in facilitating optimal outcome for our partners and their workers with injuries. 
 As part of our ongoing quest to deliver these increasingly improved outcomes through the application of artificial intelligence and automation, we're introducing a new proprietary document storage and processing solution based on the latest advances in cloud-based AI technologies. While our philosophy is to own all core systems, we are pragmatic about leveraging compelling cloud-based services as they emerge in the technological landscape. 
 Previously, models for ML and AI had to be built in-house by our own systems architects and data scientists. But flavors of these services are becoming increasingly ubiquitous. We believe that leveraging valuable and mature cloud-based solutions will amplify the work of our team and allow progress to be made more quickly. The aforementioned new solution for document digitization in addition to reliably storing and handling documents quickly will enhance our ability to extract valuable data by providing our teams with powerful new tools that choose AI to highlight key information, direct attention to the most impactful details and make it simpler to both share information and to take decisive action. 
 Improvements like this are critical to the overall efforts to increase automation and augment the work of all of our team members. Reducing and eliminating tasks that are repetitive and menial, elevates the work of the team and provides better results to our partners. 
 Brandon will now provide additional details on the financial results for the December quarter. Brandon? 
Brandon O?Brien: Thank you, Michael, and good morning, everyone. As Michael indicated at the top of the call, revenue for the December quarter was $179 million, up 9% from the same quarter of the prior year. Earnings per share were $0.96, a 25% increase from the $0.76 per share in the same quarter of the prior year. The revenue for patient management, including third-party administration, TPA services and traditional case management for the December quarter was $119 million, an annual increase of 10%. Gross profit increased 17% from the December quarter of 2021. 
 Our operations, especially those providing patient management services, have been focused on the alignment and adjustment of staffing needs as we roll out AI-assisted processes throughout the organization. Those solutions offer operational efficiencies, while prioritizing our strong quality of engagement, results and outcomes for our partners. 
 The revenue for Network Solutions sold in the wholesale market during the December quarter was $60 million, a 6% increase from the same quarter of the prior year. Gross profit in the wholesale business was up 13% from the December quarter of 2021. CERiS continues to increase the breadth of services offered to our large health care partners contributing to year-over-year December quarter revenue increases. The timing and expansion of new offerings during the quarter were beneficial in offsetting the expected short-term reduced transaction volume from key partners, which Michael had mentioned earlier. 
 Since inception, CorVel's actions have been guided by a long-term view of success and the sustained financial health of the organization. The approach has allowed us to grow in times of economic expansions and recessions. Our balance sheet, strategic initiative road map and operational fundamentals are healthy, allowing us to not only weather but thrive in unusual economic times. 
 I would now like to review a few additional financial items. During the quarter, the company repurchased 152,000 shares at a total cost of $22.8 million. From inception to date, the company has repurchased 37.7 million shares at a total cost of $730 million. Through the program, the company has repurchased 69% of the total shares outstanding. The repurchasing of shares continues to be funded via the company's strong operating cash flow. Our DSO, as in days sales outstanding, of receivables was 42 days, up 3.5% from a year ago. 
 The quarter ending cash balance was $78 million. CorVel's strong and debt-free balance sheet generates improved earnings in contrast to many others in the segment facing increased debt loads and associated interest rate cost headwinds. 
 That concludes our remarks for today. Thank you for joining us. I'll now return the call to our operator. 
Operator: This concludes today's webcast. You may disconnect your lines at this time.